Beatriz Izard: Good morning, and welcome to Línea Directa's conference call to discuss June 2024 results. I am Beatriz Izard, Head of Investor Relations. As usual, we will first walk you through the slides, and then we will be happy to take any questions you may have. Now let me turn the call over to our CFO, Carlos Rodriguez Ugarte.
Carlos Rodriguez: Thank you very much, Beatriz. [Foreign Language] Good morning, and thank you for joining us, we'll go straight to Page #5. The first half of 2024 has been marked by a further consolidation of profit and a remarkable change of trend. We are pleased to present these results. Combined ratio dropped to 95.5% in the first half, 12.4 percentage points below of that of 2023 and stood at 93.6% in the second quarter stand-alone. This noteworthy trend was mainly due to the decline in the loss ratio, with a much better claim experience. Nonetheless, also expenses continue to behave and expense ratio dropped to 22.1% and 21.9% in the quarter. Gross written premiums grew by 2.4%, with an acceleration in the Health line of business. Another highlight is the customer portfolio, reversing the recent trend and growing in the quarter by 0.7%. All things together, net income increased to €25.4 million, which compares to the loss of €15 million in the first half of 2023. Finally, solvency ratio stood at 191%, mainly driven by the positive results. The Board of Directors approved yesterday a first interim dividend on account of 2024 results for an amount of €15 million. Payment date will be August 1. Considering such dividend solvency ratio stands at a very comfortable 184%. Turning to Page #7. Insurance revenue were up 2.7% with the contribution of all line of businesses. Technical profit stood at €21.6 million, accelerating the positive trend of the first quarter. Loss ratio dropped by 12.3 percentage points and expense ratio of further 0.1 points. Correspondingly, combined ratio dropped to 95.5%. As with regard the second quarter stand-alone combined ratio stood at an excellent 93.6%. Investment results was down 1.1%, mainly driven by the impairment of the Atos bond. Underlying investment results will have been up by 26.2% on the back of higher income from the fixed income portfolio. Credited interest, which is shown separately from investment result for clarity purposes is the financial unwinding on the prior year discounting of the provision for claims incurred. The unwinding was an expense of €4.3 million for the first 6 months of the year. Altogether, profit after taxes stood at €25.4 million, which compares to the loss of €15 million over the same period of last year, a turnaround of more than €40 million. Let's go to Page #8. As usually, we break down premiums and policyholders by line of businesses. Health continued to enjoy significant revenue growth. The portfolio also grew in the quarter stand-alone in Motor and Home, reversing the trend of the last 4 quarters. Turning to Page #9. The portfolio in motor insurance grew by more than 5,300 policyholders. Insurance income continues to increase, although with a slight moderation of growth as compared to the first quarter. Combined ratio had an extraordinary progress as a result of the prudent management of claims and rate action taken in 2023. We can safely say we are back to the technical profit, yet we will continue working on this front. Turning to Page #10. In the Home business, as with Motor in the second quarter, the portfolio of customers grew restoring an upward trend. Premiums grew by 4.4% at the same rate as in the first quarter. Combined ratio was particularly low at 88.8% and 81.1% for the 6 and 3 months, respectively. The absence of weather events was a key component to which it is also fair to add the careful subscription. As with regard to the Health business, the remarkable growth continues. Combined ratio also had an outstanding performance as compared of last year. We need both scale and efficiencies from the marketing and operational side of the business to reach our breakeven goal, and this is where our efforts are being directed. As usually, full disclosure on combined loss and expense ratio by line of business is provided in Page 23 and in the Excel financial supplement. Please let's move now to Slide #12. Loss ratio continues to improve and stood at 73.4%, 12.3 percentage points lower from last year with Motor leading the improvement. Also Health and Home posted lower claims experience on the back of lower average cost and limited frequencies. Home was also aided by the absence of weather events. Turning to Page #13. On expenses, the company does not separate from its efficiency road map. The expenditure is very much controlled and below premium growth. The trend in both acquisition and administrative expenses remains first class. Turning to Page #14 on financial results. Investment results was down 1.1%. Prudently, the company decides to account for an impairment in a bond on the French technological company Atos. Excluding such effect and the mark-to-market of the investment funds, financial result will have been up by 26.2% in line with the first quarter. The increase is driven by the income from the fixed income portfolio. As usually, we are providing the credited interest in a separate line for clarity purposes. On Slide 15, we disclosed the portfolio composition, the movements that flow directly through the equity and their IFRS 9 and some other metrics. The message here is that the overall yield of the portfolio stands at around 3%, excluding realized gains or losses and the overall duration of the fixed income portfolio is 3.2 years. Portfolio composition with minor changes remains pretty much the same. Moving on to our solvency position. Solvency margin rose to 191% in the quarter, the main contributor being the profit of the quarter. The Board of Directors yesterday approved an interim dividend on account of 2024 results of €15 million to be paid on August 1. Considering such dividend solvency ratio stands at a very secure 184%. For its part, SCR remained pretty much stable on the back of positive offsetting negative effects. Mainly, we recorded higher exposure to corporates offset by lower balances of deposits and the moderation growth are reflected in the non-life SCR. To conclude, in 2024, we are harvesting the fruits of coordinated and persistent actions that we needed to adjust our business to the new market environment. These results are a reason to be pleased about. Yet this is not to say that we see in our efforts, we will continue to work to deliver better results. Thank you very much. I will now hand the call over to Beatriz to begin the Q&A session.
Beatriz Izard: Thank you very much for the presentation, Carlos. First, we'll begin with the questions received from the conference call.
Operator: [Operator Instructions] The first question comes from Maks Mishyn from JB Capital.
Maks Mishyn: I have a couple. The first one is on your strategy in motor. You've gained customers in the second quarter, but the average growth in premiums has slowed down. How do you see the competitive environment in the market? And what kind of new customer evolution versus growth in average premium should we expect for the rest of the year? The second question is on claims. Could you please clarify whether there was any benefit from frequencies in your claims ratio of motors in the second quarter? And then I was wondering if in the home, you also expect such claims -- such good claims ratio to continue in the rest of the year.
Carlos Rodriguez: Thank you very much, Maks. Well, I think in the Motor business, we are more or less fulfilling our expectations. I mean, I remember in the first quarter, I explained that growth in number of clients in the Motor business was going to be difficult in the first quarter, and we will start to see some improvement in the second quarter, and that has been the case. I mean we have been able to increase close to 6,000 new clients within the company. And I think that should be the trend throughout the year. I mean, we will keep on increasing quarter-on-quarter in the portfolio in the Motor business. I think the market now is in the mood of rising average premiums in line with what we did last year. So we anticipated that. We are still increasing average premiums very much close to CPI increases that was a strategy for the company, and that's what we are doing. So I think you should expect average premium is very much in line with CPI and the growth in clients in the Motor business and also the Home business and also in the Health business to keep on improving throughout the year. In terms of frequency, looking forward, to the end of the year. Well, frequency was in line with what we expected. I mean, probably, we have less severity than we expected. But I think the key for the loss ratio has been more the management of cost and the evolution of the average cost per claim has improved quite a bit from last year or at least quite a bit from what we expected. What do we -- we'll see what happens in the summer. I mean, summer time began 1 month ago. July numbers in terms of frequency are fair, I would say. So my expectation is that frequency will perform more or less in line with the first half of the year. And I think the evolution of the loss ratio will be very positive throughout the year. And I think I answered the other question -- with the second question. I mean, claims are performing quite well. My expectation is that it will be the case for the entire year. So I'm expected a good year in terms of loss ratio and a good year in terms of combined ratio. We'll see what happens in summer. And in Home business, well, we'll see what happens with atmospheric events, which has been a very good year so far and we'll see what happens in the second quarter -- or the third quarter.
Operator: The next question comes from Carlos Peixoto from CaixaBank.
Carlos Peixoto: Just a quick one for me. Sorry, if I'm picking up again on the previous questions, but do I understand correctly, and you expect the motor combined ratio to remain more or less at these levels throughout the rest of the year? And if so, previously, you -- I believe you had discussed levels of combined ratios around 94% to 95% for next year. Do you still see that as the base case for next year or could -- or should we expect better ratios for 2025 already, I mean?
Carlos Rodriguez: Thank you very much, Carlos. Yes, I think the evolution of the combined ratio was very good in the first half of the year, maybe a little bit better than I expected at the beginning of the year. But looking forward in 2025, I still think that we should be in that and in the neighborhood of 94%, 95%. We'll see what happens in the second part of this year. But again, if I were to say 2025, we should be there in 94% to 95%.
Operator: The next question comes from Michael Huttner from Berenberg.
Michael Huttner: I was just curious, so apologies if I get all this wrong, but on the weather in Home, can you give a ceiling for what would be a normal weather pattern? Or I mean, how much of a beat, if you like, is coming from weather? Or is this sustainable? Just some background would be great. And then on the dividend, so the dividend is bigger than the profit, but that's my reading, but maybe I'm wrong. Can you explain your thinking on the dividend? Is this a quarterly dividend, which continues at the same pace? Or do you just declare dividends as they come?
Carlos Rodriguez: Thank you very much, Michael. In the home insurance question, I don't think the company will be able to sustain that 88% in terms of combined ratio, I mean because it's very much impacted by atmospheric events and being a business that is still today is kind of thin as compared to the motor insurance is going to be difficult. Of course, we should expect some atmospheric events after summer, October, November, and that will have an impact on the combined ratio. Having said that, I think you should expect a combined ratio in the low 90s for the year, which it will be much better than the previous year. Indeed, if you take a look at the stand-alone quarters in 2023, the evolution of the combined ratio has been very positive since then. But again, I mean, assuring for an 88% combined ratio, I think it's not realistic. I think we should be in the low 90s. And in terms of -- and in terms of dividends, well, I think the Board is doing what they have to do. They go step by step after 1 year of losing money in 2023, I think the Board has been very cautious trying to consolidate the income evolution of the company. We have been already 3 quarters making profit of bottom line in black. And while they have taken the decision to have a dividend around 95% payout. I mean looking forward throughout the year, we will go quarter-by-quarter. But again, I think the intention of the company has always been a high dividend payer and the decision when and how much is on the board, but I think this is a sign of a clear signal on June that the company is back on track in the dividends payment.
Operator: The next question comes from Juan Pablo López Cobo from Santander.
Juan Lopez Cobo: Yes. Two questions from my side. First one is, if you could update us regarding the confidence level you're applying to cover future risks. Is it still the 85% that is in the past. And maybe a follow-up regarding the dividend payout ratio. I don't know if the right way to look at this is more on the first half results, and we should expect a payout ratio more in line with 60% for the year? And maybe last question regarding investment results. I don't know if you could provide any guidance for the next quarters, if we should expect something in line of €10 million, €11 million per quarter.
Carlos Rodriguez: Well, thank you very much, Juan Pablo. Regarding the methodology that we apply, I mean we apply our statistic methodology, which is a proof and that is the application we do. On the dividend payout, again, I mean, we have -- we know it's a company with a high dividend payout. I think that will be the case looking forward. Again, I think the Board is being very cautious on deciding the amount of dividend on a quarterly basis. I mean -- but again, I mean, if things keep on track in terms of profits, you should expect the dividend payout keep on improving throughout the year and throughout the coming years. I don't have a number. I don't have a clue what the Board is going to do, but you should expect that the dividend payout will keep on growing as bottom line numbers keep on growing. And regarding the investment results, well, I think looking forward, you should expect much better results on the investment portfolio. I mean, given the fact that our yields are very close to 3%, but we are reinvesting a big portion of our maturity is above 4%. If we don't have any extraordinaries as we did in this quarter. I mean, the evolution of the investment portfolio will be much better than in this quarter. Keep in mind that we have -- on a prudent basis, we have decided to do an impairment in a bond that we have on a fixed income instrument that we have in a French technology company, and that had an impact on the investment portfolio and also the mark-to-market of the nonlisted mutual funds also have a negative impact. If those things are correct, looking forward, the investment portfolio will provide much better results.
Operator: There are no further questions at this time on the conference call. I will now hand back to Beatriz Izard, Head of Investor Relations. Beatriz, now your line is open.
Beatriz Izard: Thank you. Now we will continue with the questions received through the platform. We have one question coming from Marisa Mazo from GVC Gaesco, regarding home insurance. What would be the run rate of the loss ratio? Should we consider this quarter as extraordinary? Good?
Carlos Rodriguez: Well, I think I already answered that question. I think you should expect the home combined ratio in the low 90s. I think the important number or the important evolution of the combined ratio to watch is evolution since the third quarter of -- or the fourth quarter of 2023. I think the evolution has been very positive, but it is true that June numbers being on 88% combined ratio, I think it's extraordinary. Again, atmospheric events will come probably on autumn, and that will have an impact. But the run rate, as you said, should be in the low 90s.
Beatriz Izard: We have no further questions. Thank you. And thank you very much, Carlos, and thank you all for taking the time to connect. As always, the IR department is here to help you should you have any further questions.
Carlos Rodriguez: Well, thank you very much. You have a good summer and drive carefully.